Operator: Good day and welcome to the Dentsply Sirona’s Third Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time I would like to turn the conference over to Joshua Zable, Corporate Communications and Investor Relations. You may begin, Sir.
Joshua Zable: Thank you and good morning everyone. Welcome to our third quarter 2016 conference call. I would like to remind you that an earnings slide deck presentation relating to this call is available on our website at www.DentsplySirona.com. Before we begin please take a moment to read the forward-looking statement on slides 2 and 3 of our earnings slide presentation. During today's conference call, we will make certain predictive statements that reflect our current views about our future performance and financial results. We base these statements on certain assumptions and expectations of future events that are subject to risks and uncertainties. Our most recent Form 10-K lists some of our most important risk factors that could cause actual results to differ from our predictions. And with that, I will now turn the program over to Jeffrey Slovin, Chief Executive Officer of Dentsply Sirona.
Jeffrey Slovin: Thanks, Josh. It is my pleasure to welcome all of you to our third quarter conference call. Also joining us on the call today Uli Michel, Executive Vice President and Chief Financial Officer; Chris Clark, our President and Chief Operating Officer for Technologies; and Derek Leckow, Vice President of Investor Relations. This was our second full quarter together following the historic merger of Dentsply and Sirona. As anticipated at the time, there are vast synergies on both the cost side and more importantly the revenue side. We have spent the last six months focused on bringing the cultures together and doing the required planning for enhancing our value proposition to the customer and also streamlining our cost structure. We are now moving from planning to execution. This was evident at SeaWorld in Orlando in August. There was a great interest in our end-to-end solution and how we can enhance the customer experience clinical benefit. I think it is fair to say SeaWorld was a great success. As evidence of this, we have a record setting rate of enrollment for our event next year in Las Vegas indicating a very high interest and where we are going with Dentsply Sirona. Our teams are fully engaged in finding and capitalizing on the strength of bringing the world's largest dental consumable and technology platforms together. This is important as our merger is all about growth. At this stage I am pleased with the progress I am seeing as we are beginning to execute on our plans. On the cost side we had some early successes as we move forward there will be more activity including some sizable opportunities in manufacturing German logistics overhead. This quarter you have already seen significant tax savings that have occurred as a result of the formation of the new combined company. We are on track as we progress deeper into the implementation phase. Turing to our results: The third quarter revenue came in a bit lower than we expected. Constant currency revenue growth was up slightly driven by internal growth of 2.6% in rest of world up against the very challenging comparison, last year rest of world grew 15.6%. Europe was up 1.2% on an internal basis both our technologies and consumable segments grew. We grew in both Northern and Southern Europe. Our U.S. business was down 3.2% with declines in both segments. Our technologies business grew double digits a year ago. We benefited from CEREC 30 in the launch of treatment centers. Although end users demand for our technologies remain strong, we were unable to grow on top of the 18% growth in equipment last year. In consumables the combination of a soft summer and a change in dealer buying pattern led to the decline. Last year we received typical strong orders ahead of our annual October price increase. This year we saw significantly less activity. Overall, we see the U.S. market as stable. We believe that our growth will pick up in the fourth quarter. Our adjusted EPS was $0.66 unchanged from last year. Net income grew 66% and was offset by the increase in shares outstanding. Our net income benefited from a lower tax rate when we structured the merger we disclosed that there were multiple synergies opportunities to capture. I am pleased to report that our tax team has been supporting our integration activities which has yielded some tax efficiencies. Before I turn the call over to Uli, I want to comment on our capital deployment. During the third quarter we repurchased $100 million of our shares. Year-to-date we have bought 700 million worth of stock. I am also pleased to announce that the board has authorized us to repurchase an additional 5 million shares. In September we completed the acquisition of MIS. We can now address the faster growing $1.5 billion value market. This is a great addition to our Dentsply Sirona implant portfolio. In addition, we operate in a very fragmented market where there is ample opportunity for more consolidation. Our balance sheet remains strong and gives us the flexibility to pursue multiple avenues to create value. Lastly of course, we have continued to return capital to shareholders through our dividend. Overall, I am pleased that where we are on our strategic initiatives and how our organization is coming together. Wealth is the top priority for Dentsply Sirona and a major reason for why we merged. We are positioning the company for top and bottom line growth. As you saw in the press release today, we are bringing the low end of our guidance range up by $0.05 per share reflecting our continued confidence in the business model and our prospects going forward. I will now turn the call over to Uli, who will review our third quarter financials.
Uli Michel: Thanks Jeff and good morning everyone. This morning I will discuss our U.S. GAAP results as well as our non-GAAP adjusted results. As I walk through the earnings performance, I will also point out major impacts of merger accounting on our results. In the third quarter our reported revenue increased $305.3 million to $954.2 billion, up 47%. Adjusted sales of our combined businesses, excluding precious metals grew 0.4% on a constant currency basis. Internal growth was flat excluding an 80 basis points favorable impact from net acquisitions and the 40 basis points unfavorable impact from discontinued products. Foreign exchange movements were a tailwind to revenue of 40 basis points. As a reminder, these growth percentages reflect the performance of the combined business as if it had been consolidated on January 1, 2015. Jeff already addressed revenue growth by geography and segment. We have provided reconciliation tables for every segment and region that will help you understand how the GAAP reported revenue and internal growth come together. U.S. GAAP gross profit was $513.6 million up $144.1 million or 38.9% from $369.5 million in 2015. Gross profit as a percentage of net sales excluding precious metal content decreased by 400 basis points to 54.7% from 58.7% in the prior year. As you can see on the non-GAAP reconciliation tables, the gross profit margin was negatively impacted by 320 basis points mostly due to the effect of step-up amortization and other merchant-related items. On an adjusted basis, gross margin was 57.8% down 230 basis points for the quarter. Unfavorable product mix and foreign exchange impact offset the benefit of savings from global efficiency program and favorable product pricing. Reported SG&A expense which includes R&D was $379.1 million, up $114.8 million or 43.4% versus last year. This equates to 40.4% of sales excluding precious metals, 160 basis points below prior year. The decrease was primarily the result of Sirona's lower operating expense rate and savings from the global efficiency program partially offset by increased amortization expense and other costs related to the merger. Adjusted for non-GAAP items, including amortization expense and other cost related to the merger, SG&A expense was $348.3 million or 37% of sales excluding precious metals representing 200 basis points improvement. This ratio was largely unaffected by FX. Restructuring expenses were $7.9 million, up from $6.6 million last year. In total, GAAP operating income was $126.6 million, up $28 million or 28.4% from last year. Excluding the non-GAAP items set forth in our non-GAAP financial measures, adjusted operating margin was 20.8%, down 20 basis points compared to 21% last year. Margins benefited from the positive impacts of the global efficiency program and the consolidation of Sirona. FX had a negative impact of approximately 60 basis points on the rate. Net interest expense for the third quarter was $7.9 million, $1.3 million lower than prior year. Other expense in the third quarter was $1.6 million from a net gain of $3.8 million in the prior year. This $5.4 million negative impact is driven by change in gains and losses from currency transaction and hedges. For the three months ended September 30, 2016, we recorded U.S. GAAP income tax expense of $24.8 million versus $19.6 million last year. During Q3 the company recorded $5.1 million of tax expense related to discrete tax matters. Excluding these discrete tax matters the company’s effective tax rate was 17.8%. The Q3 effective tax rate was favorably impacted by an update of our annual estimated tax rate. It includes the combined benefit of the first three quarters. After completing major steps of our integration, we now anticipate our annual effective tax rate to be 21%. Q3 U.S. GAAP net income attributable to Dentsply Sirona was $92.5 million, up 9.5% from the prior year. Third quarter 2016 diluted GAAP EPS was $0.39 compared to $0.59 in the prior year. Adjusted non-GAAP net income grew 65.9% to $155.6 million. Adjusted earnings per diluted share was $0.66, the same as last year. Net income growth was offset by the impact of additional share issuance related to the merger. For a reconciliation of GAAP EPS to non-GAAP adjusted EPS, please see our earnings press release. Cash flow from operating activities during the third quarter was $152.9 million compared to $159.7 million last year. Q3 2016 operating cash flow were negatively impacted by increases in working capital versus the reduction of working capital in Q3 2015. The single biggest item was related to the timing of customer payments which we only received in early October. Cash used in investing activities was $379.7 million compared to a source of cash of $36.2 million in the prior year. The primary driver of the change was the cash paid for MIS implants. Cash flow from financing activities was $237.1 million in flow versus an out flow of $55.4 million last year. In Q3 2016 we returned close to $113 million to our shareholders in the form of buyback and dividends. We paid $419 million of long term and short term borrowings and we had proceeds of $760 million from long term borrowings. We ended the quarter with a cash balance of $330.7 million. On October 27, subsequent to the quarter end, we issued 350 million Euros of private placement notes with tenure between 8 and 15 years and a weighted average interest rate of 1.4%. The proceeds were used to repay $375 million strong under our revolving credit facility. Now turning to guidance: For fiscal 2016, we now expect adjusted non-GAAP EPS in the range of $2.75 to $2.80 versus our previous range of $2.70 to $2.80. Our guidance includes the following key inputs. So far we have been expecting constant currency sales growth in the range of 4% to 6% and internal sales growth of 3% to 5%. At current exchange rates this would translate to reported revenues excluding precious metals of approximately $3.72 billion to $3.81 billion. We now expect our revenues to be at the low end of the previously expressed range. This implies a return to mid single digit growth in Q4. We expect adjusted operating income in the range of 21% to 22%. We anticipate our adjusted tax rate be approximately 21%. The EPS range implies a full year share count of 220 million to 225 million fully diluted shares and FX headwinds in the range of $0.08 to $0.10. I will now turn the call back to Jeff. Jeff?
Jeffrey Slovin: Thanks, Uli. For over 100 years Dentsply Sirona has been a market leader in the industry. We have differentiated ourselves to quality, innovation and putting the customer first. Our goal is to build upon our legacy in this very attractive market. We have an extraordinary opportunity to make a significant impact to dental market which will drive our growth. The dental market is growing supported by sustainable long term demographic trends and developed markets and aging population is retaining more of the natural feed and emerging economies growing middle classes demanding more dental care. A significant part of our market is private pay. Short term consumer behavior can impact the quarter or product mix, but dental care is rarely postponed on and we do not face the uncertainty associated with other health care reimbursement systems. Furthermore, oral health is continuously proving to be more important to overall health. From a cost benefit perspective individuals and governments are like get significant return on their investment dental. All of these factors make dental an attractive base. There are other mega trends like general practitioners taking on additional procedures, the digitization of dentistry, single digit dentistry, the increasing demand for integrated workflow solution. All of these developments are growing faster than the market. Dentsply Sirona was created to accelerate these trends. We are well positioned to benefit from them. I am pleased to see how well our organization has come together over the last nine months. Our focus on culture is paying off. I have always believed that getting the culture right is the most decisive factor of the long term success of the merger. We continue to invest the time, resources and people to create a winning an extraordinary culture. We have trained over 200 culture champions and launched cultural workshops across the globe. We introduced new branding to our customers. We are now beginning to accelerate integration activities. In the third quarter we truly begin laying the ground work to accelerating growth. We launched new products and initiated key revenues synergy work streams. In August over 4,000 dental professionals attended SIROWORLD in Orlando, Florida . This was the very first Dentsply Sirona event in the U.S. The market was presented with the Dentsply Sirona brand and the power of our end-to-end integrated solutions. SIROWORLD was unlike any event in the past. Educational tracks expand across all general specialty procedures. Dentist got trained on our leading technology to how they connect to each other. Dentsply Sirona is the only company that can offer dental professionals true end-to-end integrated solutions. Our CEREC zirconia package continues to accelerate adaption of CAD/CAM. The ability to do zirconia chairside is expanding our market opportunity. We use this as driving this growth they are also becoming customers of our chairside materials like CELTRA. We have the significant opportunity to capture share in this market. We are also seeing increased demand for our Orthophos SL. 3D adoption is increasing rapidly, our merger is clearly helping drive demand for digital dentistry. Our investments in R&D will continue to deliver differentiated solutions. This will drive demand for our products and accelerate our growth. We are in the very early stages of rolling out some of these solutions. In the U.S. we launched a new Midwest E plus series electric hand pieces. This new instrument is yet another example of one of the many revenue synergies. With our E plus series we are able to leverage our world class German engineering and manufacturing with our leading US Midwest brand sales force. For years electric instrument have been standard of care outside the U.S. Today, electric represents only 15% of the market. With this synergy we can take advantage of the growing trend of largest market in the world. Early indications are that the Midwest E plus a winner. Class selling and collaboration will also be critical to our success. Our lab business is a perfect example of how Dentsply Sirona coming together will accelerate growth. By combining consumables, equipment and services we can address all the needs of the lab. We are in a much stronger position together. Now that the business has been transformed it is poised to gain market share. The strength in our organization for accelerating growth has been ramping up our country consolidation activities. These activities leverage our infrastructure and improve efficiency. In October, we initiated actions to reorganize and combine portions of manufacturing logistics and distribution. By reducing complexity we can encourage collaboration and promote one Dentsply Sirona brand. All of these actions will deliver significant cost savings and position the company best in the future. To-date we have been reinvesting a lot of the savings into the investments that will generate growth. As we move ahead, we expect more of the savings to drop to the bottom line. We have been continuously investing in our sales and service infrastructure. We began investing over a year ago has continued. It typically takes 12 to 18 months to fully ramp-up these sales resources. We are just beginning to see the benefits of these investments. We expect them to become larger contributors as we head into 2017. Overall, I am very pleased with where Dentsply Sirona is positioned today. We are executing on our cost and revenue synergy targets. We are investing in R&D and sales and service to accelerate growth. We are excited about our new product offering. We are also looking forward to introducing even more products at the international dentist show in March. We expect to finish the year strong. We will accelerate growth in the fourth quarter. With the innovations we can offer today and our ideas for treating patients in the future we are enabling dental professionals to improve, change and save lives. I would like to thank customers for the loyal support plus an enthusiasm for Dentsply Sirona. We are pleased to recognize our distribution partners with their support. I would also like to extend the special thanks to our employees who daily show their commitment to improve the lives dental professionals and their patients. Together, we will change dentistry for the better. We will now address your questions. Operator, please proceed.
Operator: Thank you ladies and gentlemen. [Operator Instructions] And we’ll first go to Robert Willoughby with Credit Suisse.
Robert Willoughby: Hey Jeff, I was a little bit surprised the equipment number, tough comp but still came in a bit weaker, can you give us any color on kind of what sold what didn't sell in equipment, I guess there was some focus on the U.S. market and then just secondarily why do you believe consumables growth will pick up here shortly? What's the tangible data point is there an October experience you could speak to?
Jeffrey Slovin: Yes, I appreciate that Bob, certainly you have to step back and talk about the summer slowness but we were also able to have an extraordinary event at [indiscernible] World Orlando and that's we saw the excitement and end-user demand there. I don't think that's fully played out on the retail side translating to our purchases and I have to tell you thought very good about what we saw on the CAD CAM and on the imaging side, certainly much more of focused on the 3D. I would tell you in total it continues to be slow. So you're not seeing that type of purchases by the manufacturers that we have in the past but you know again if you look at our overall business in its totality, we grew 6% in that prior quarter and overall the equipment a year ago was up 18% and in this type of market you can still do well but it's muted with what happened. I think the other thing with regard to consumable that gives us a bit of a confidence is that we told you in the prepared remarks that we didn't see the normal pre-buy that we do before the price increase in October but we know the sell through was stronger and we expect that to continue into the fourth quarter.
Robert Willoughby: Okay, thank you.
Jeffrey Slovin: Thank you.
Operator: We will take our next question from John Kreger with William Blair.
John Kreger: Hi, thanks very much. Jeff, maybe just to follow up on that, can you go through and dissect a little bit more within the US, how are you sort of general and restorative consumables doing versus some of them are specialty oriented products.
Jeffrey Slovin: Yes, I mean, we have mentioned this last quarter and I think it's fair to say that our specialty products outperformed on the growth basis and we can give you a little bit of color on that too in a moment. We're also pleased with the new products that we've brought recently to market and are restored it and presented. We don't talk about this as much because there's a bit, our [indiscernible] has showed again solid growth with a new product, it’s offering. Certainly our Midwest and pieces and the new one we have discussed on the call, it has already shown a quick uptick in the lab area. We are just starting to launch the [indiscernible] and we're continuing to see sell through on our [indiscernible] and when you take that dough with our specialty business, ortho strong growth and it continues to be a stalwart and implant had a nice quarter. Chris you want to follow on that?
Chris Clark: Yes I guess I would characterize it John. Again all three of those specialties were accretive to our growth. Implants, we see a nice improvement sequential in terms of the unit growth. We also see some sequential strength in the US, we are pleased with that in the area where we have some very nice synergies particularly relative to what imaging and CAD-CAM and we certainly leverage that SIROWORLD. So again I think we're increasingly in our front foot there and feeling good about it. On the workforce [ph] side we have some nice improvements in the number of markets, we continue to do well in the US that is a very competitive market relative to competition in declining ASPs as a result of extra capacity but again we're very pleased with performance of our team there. And on the other side we just continue to innovate and are very pleased with what's coming out from the R&D shop there. We [indiscernible] in the order and also our new 3D endo software which again both of which will be very nice platforms for us moving forward.
Jeffrey Slovin: And just to talk about rest or a little bit more, our [indiscernible] very excited about what that product going to do for us early days on that team [indiscernible] those are going after the procedure selling and class II again very strong, I think you have to keep in mind that when you don't have the typical pre-buys in front of the price increase that area will be affected more, we've got a lot of confidence that the fourth quarters going to show better business.
John Kreger: Great. Thanks and maybe just one quick follow up, given that this is an IDS here, any kind of initial thoughts on ’17 and how that should roll out?
Jeffrey Slovin: Well, I mean this literally be rolling into IDS after one year together being able to put our teams on all sides from the R&D to sales and marketing and I fully expect that the IDS will be one that will show with Dentsply Sirona [ph] is all about as the dental solutions company. So we're excited about that that means bringing innovations that are going to change the dental professional, how they practice and the impact on the patient. Certainly we expected to be a strong idea, John every idea has had to be better than the one before and this is no exception. For us, as we think about 2017, we do expect, well I'm not going to give guidance on this call to see growth accelerate, given what we're doing on with our revenue synergies and how we're coming together.
John Kreger: Excellent, thank you.
Operator: We will next move to Tycho Peterson with JPMorgan.
Tycho Peterson: Thanks. Question on equipment side. Can you maybe just talk about pricing in competitive dynamics, are you still able to get the same amount of price given some of the softness you're seeing and can you talk specifically on CAD CAM competitive dynamics, it looks like Shine had a very good quarter.
Jeffrey Slovin: Okay, so there is many dynamics going on here. I think from a standpoint and Tycho you remember this, when we launched it we've always been about CAD CAM for everyone. So we've had a product for years in each one of these segment areas whether it would be the digital impression only other way up to the practice lab and so that has certainly run the gamut, we have seen more activity in the DI which on an overall basis would lower the ASP in that category but we see much more sales on the chair side because it's a much more compelling proposition for the dental professional and certainly the patients that they serve. And so the big winner for us continues to be cheer side with excel and full functionality. That being said we did run a promotion on our DI which lowered the ASP to just under 30,000 but keep in mind that when you think about all of the functionality we're adding to the system with the speed fire and what zirconia can do, we're now allowing a dentist to do chair side which they always relied on the lab means zirconia number one material used by dentists who restored it. We're allowing that to happen, share side and that's a bigger deal and that's a big trend and that's just getting started. That's early days for us and we're very excited about that we're also very excited about ourselves we do I mean what that offers and taking care of the dental professional. So you're right, there is or interest in DI than we've seen in the past but that's Dentsply Sirona is getting their fair share their although we continue to see the best value proposition for the dental professional being chairside.
Tycho Peterson: And as part of the enthusiasm for the fourth quarter step up baking in the 179 deduction, are you expecting an impact from that?
Jeffrey Slovin: Well certainly Tycho, it's got to be better than last year. We had no real effect of it. So we do you feel that that should help. We also understand what we have been placed with our revenue synergies going into the fourth quarter and have a lot of confidence that the team's going to execute but keep in mind we don't have baked into this a huge rebound in the US. And I would remind everybody that well 179 is important, we're cautiously optimistic on that. And I would tell you that our major driver for us will continue to be rest of the world where we're really pleased with what we're seeing in Asia Pacific and frankly even in Latin America we saw Brazil which has been challenge showed away. So one of the beauties of Dentsply Sirona is our geographical balance and what we're able to do.
Tycho Peterson: Okay, thank you.
Operator: We move next to Brandon Couillard with Jeffries.
Brandon Couillard: Thanks good morning. You really changed to give us the Delta the spread between the sell in and the sell out in the US in the period, just going to get a sense of that the effect of the channel adjustments on the US growth in the quarter.
Jeffrey Slovin: Let me just say one thing and then I'll turn it over to Uli but look it was significant. This is why we highlighted it. It had an impact on us but these are the puts and takes up it also gives us some of the confidence with regard with our market share because on the retail side of it the sell through we know we continue to grow there. Uli?
Uli Michel: Yes. I mean we mentioned that we saw a loudness of the pre-buy activity at the quarter end going on and there is definitely a discrepancy between what the dealer price from my and what they sell into the market. We think that on the sale through side, it's probably low single digit growth. So we cannot really quantify for you the exact difference but there is a difference and I believe we would have certainly grown on our consumable side in the US if we would have had a regular pre-buy activity. Sale through is good I think.
Jeffrey Slovin: Yes, I think that the takeaway and Chris certainly you've been around a while here any other color you'd like to give Brand?
Chris Clark: You know Brand, I think that obviously there are some years where the dealers may flex a little bit higher in they are little bit lower and yes overall this was a little bit of a lower year. There is disconnect, I think the best way to characterize it, again we had a positive overall retail number for the US again and on top of that we would have been positive on the consumables in the US apart for that disconnect. So I guess, it is one of those phenomenon that we do see come in and come out and depending on how much the dealers want to expand or not given time or if in terms of buying and in advance the opportunity.
Brandon Couillard: Okay, thanks and Jeff how do you think about the process of integrating the two IT systems. Is that a near term priority and is that necessarily a pretty requisite to enabling real revenue synergies opportunity to emerge?
Jeffrey Slovin: I will also going to pass this to Uli and in this respect but I would say that no we're not waiting on the IT systems to merge. We've got a lot of similarities, certainly IT is a very important and critical to us because one of the things that is significant that we need to be extensively standardized processes and that’s critical when IT is the enabler that helps us there but from a standpoint waiting on, what we're able to do for IT, I wouldn’t say that the case, the big thing that we have been focused on and I think you're going to see the impact of it, it's building a very strong culture, that’s something I've believed in from day one thing with the management team in the board that you've got to investors early, this is the decisive aspect of why you win in the end with a merger of our magnitude and it really comes down to being able to take people to a place of putting us together to learn from each other than going through the integration which is the phase we're really going on which has many restructurings within it and then you're really talking about transformation, that's why we've talked to you about a three year process that we're undergoing but I know you had a question more about IT anything else you want to say about Uli?
Uli Michel: Yes, Brandon, maybe we should clarify you may be assist combining our unifying the two IT system. We never had one IT system in each company. Each company has an array of different IT systems and each part of the company has a program to standardize and unify these IT systems more and we're continuing to do this. I would say on the front end this is not a big obstacle right, although we are investing in CRM, this part where the money goes that we saves through our efficiency programs and this should help but it's more of a productivity improvement at this point I think and I do not believe that this is an obstacle to our sales growth.
Jeffrey Slovin: I think it will help us next year and the years beyond no question about it but.
Brandon Couillard: Great, thanks.
Operator: We next move to Steve Beuchaw with Morgan Stanley.
Steve Beuchaw: Hi, good morning. Thanks for taking the question. I am still wondering on capital deployment, which are the commentary this morning on the expansion of the repurchase authorization. I wonder if you could give us a sense on capitol deployment about two things, one of the piece of share repurchase, let’s say over the next 12 months given that it had a pretty big 2016 to compare to for obvious reasons subsequent to the combination and the MIS deal and then sub-part of that the capital deployment question number two is, is MIS deals the size of MIS, potentially in the cards for the next year or should we expect smaller tuck in type of investment?
Jeffrey Slovin: So I mean face up of share buyback was the first one I think we always say that our higher priority would be to acquire and if we find good opportunity. So we will not commit to a regular pace of buyback at this point I think it's fair to assume that it's going to be lower we did big part of the buyback with the cash that was on the Sirona balance sheet then when we were merged and which then through our the combination of the two pieces we could very takes effectively bring back to the US and return to our shareholders, this opportunity was at the beginning and we do not have a similar one in the same magnitude going forward. So the first priority will be acquisitions right but what is left would return to shareholders but again base will be lower. We've done 100 million in Q3 and that’s much I would say to this for now. MIS may be Jeff you want to answer.
Jeffrey Slovin: I would say keep in mind, Steve we're going to be opportunistic, it's discretionary. We'll keep you on your toes about buying. From the standpoint over the next year, we will continue to do small acquisitions and we've got some bigger ones on the horizon. We've got to keep in mind that the pricing we paid for MIS very strategic has synergies within it and the level spend for an acquisition would not concern us but it's got, we've got a couple that we think could make a lot of sense for us.
Steve Beuchaw: Okay, I appreciate the color there. The second question relates to deal integration but it's one operational side as opposed to the technology side. So following up there, how do you go about going through the integration, monitoring progress on metrics that hope you understand the potential for any sort of commercial or the disruption and how would you describe the process on those metrics so far? Thanks so much.
Jeffrey Slovin: I think this is a excellent question Steve because it's one that you have to put in the front of before you can start as one company. Putting together the team which we had a PMO which is now in IMO integration office, that's working through all of the complex aspects of it from country formation to looking at how we become more efficient effective and leverage ourselves and certainly it's what we looked at when we first put our guidance together so we're able to look at areas where if it were to be able to have an impact on it. That's why we spend so much time the first six months really planning and stabilizing your organization to be able to be focused on driving our growth, meeting our guidance expectations but then also preparing ourselves to be able to do the heavy lifting of integration. And certainly, you saw with our tax today that we had a synergy which came from the proper planning with the tax team that was able to do that we felt confident that we were executing at a high enough level that we raised the bottom of our guidance range by $0.05, which is significant and we also when we look forward to the fourth quarter we have metric that give us confidence about the revenue synergies that we will be able to execute on over the next few months. And certainly, you have to keep that two things separate from the ongoing process of integration in the restructuring and that's one having your sales force focused we going into this we are very clear about that we broke it down into five RCO regions actually have the regions reporting into me so I get a lot of visibility. We have a team that is focused on giving us the insight on where the revenue synergies are coming from. Keep in mind we talked about that we had close to 200 work streams we have now been waddling that down to the ones that are working best. We were able to deal with the SIROWORLD which we thought that the whole management team was able to see what's capable and isolated to an area. And then, the other part which is so important is that it doesn't disrupt our ability to innovate and bring products to market faster. We have not seen anything with regard to the integration slow our product cycle, which is critical especially as we get to the point of readying ourselves for an IDS for next year. We talked about that this merger was all about growth and growth comes from our tremendous brand and product portfolio, our sales and service infrastructure, our clinical education and our ability to launch new products. And we’ve said that we have a high standard that's our lifeblood new products and we have not missed the beat and I give a lot of credit to our CTOs and Jim and Chris for their leadership here. We continue to move well.
Chris Clark: Jeff, I can't tell if we have strong feeling to it or not.
Jeffrey Slovin: Hey we have got a great organization, a tremendous franchise, very talented people. And we are working hard here. I don't want to make light up the fact that there is a lot to do, but we are focused on recognizing that we made commitments when we gave guidance and also the long term opportunity which will be truly extraordinary for this organization. We talked about this being transformational that doesn't happen overnight. It happens with the right people, the right strategy, put to work with our products.
Unidentified Analyst: Really appreciate that Jeff. Have a great morning.
Jeffrey Slovin: Okay. Thanks.
Operator: We next move to Jeff Johnson with Robert W. Baird.
Jeff Johnson: Thank you. Good morning guys. So Jeff just wanted to start with you, looking at the fourth quarter guidance I think a lot of us are trying to feel out what you are seeing in the end markets. How you are feeling about the end markets but it seems to me your fourth guidance implies organic growth of maybe around 3% or so, the comps gets a couple of hundred basis points easier you pick up maybe half point across the product lines and pricing some of the distributor channel, drawdown comes up a little bit. So it seems like to me you are basically saying end markets have been soft, going to maybe remain a little bit soft. There is not really a whole lot of implied end market improvement in your fourth quarter guidance, but you can still kind of get to 3% numbers. Is that a fair way to kind of summarize it at all?
Jeffrey Slovin: I think it is a fair way to say that we feel the market has stabilized. We have not put into our numbers an improvement, so if section 179 were to do a great job in stimuli that that's certainly upside. To that you are right about the comp gets easier in the fourth quarter for us. We feel good about the mega trends still are in place, in fact, we like the idea that more and more distributors and dentist are talking about going 3D and the importance of single digit dentistry and digital dentistry and certainly being the market leader here plays right to us. We have got some real strong visibility in our revenue synergy and rest of world looks very strong for us and frankly our specialty areas in the fourth quarter look good across the board. So that is what gives us the confidence to talk about what our implied guidance says about revenue.
Jeff Johnson : Alright that's helpful. Thank you and Uli maybe two just kind of clarifying questions for you. The 21% tax rate that you are guiding to for the year now after the catch up in 3Q is that kind of a good go forward rate how to think about kind of beyond 2016 and then in the third quarter it looks like to me operating margins that kind of mashed both Dentsply and Sirona model together last year operating margin was down maybe 50 basis points so or both companies had good strong improvements last year in the third quarter so do we get back to kind of a pro forma or combined I guess operating margin improvement trend line as we move into next year, is that still on the table?
Uli Michel: Well let's maybe first start with the tax rate question. I was kind of expecting that you would check. Let's start with this year, we have made some changes to our tax structure and did some reorganizations mostly in Europe which we have completed now. These reorganizations take advantage of the very complementary tax attribute that we had in these two businesses. We also have enough visibility in this time of the year to have a good sense of the geographical split of our taxable income this means in which jurisdiction under which tax regime will have roughly what type of income. So we have a very good sense now on what we think the tax rate for the year will be and that's why we lower this to 21%. I don't want to give any guidance or outlook for 2017 on this.
Jeffrey Slovin: I think it's too earlier.
Uli Michel: It's too early there is always, we don't have a good feel yet of the geographical split. We also do not know what the tax laws will do right there is always I would say upside bias on race from tax legislation, but what we have done is a structural improvement to our tax effective decision.
Jeffrey Slovin: I think Uli, you and the team should think about its outstanding work to structure this and this isn't the first time that we have been able to show this and just remind people that in the first quarter we were able to do some nice early synergies work to pullout 76 million from reserved tax assets. So we are doing the right thing which means that there is a lot of levers to pull and we have got the smart people on our team to think it through.
Jeff Johnson: Jeff, any comment on the margin part of the question just on how comfortable you are going forward on margins being able to improve of this quarter that looks like they were down just a bit?
Jeffrey Slovin: Well, we wouldn't say they were down. I mean, if you look at it we were down 20 basis points recorded, but we had 50 basis points headwinds from currency. So net, net it was about 30 basis points improvement like what we have reported. And we are as we move into the fourth quarter we are increasing some investments relative to getting ready for IDS, we have increased our R&D spend in the third quarter of this year versus last year. We will ramp-up even a bit more in Q4. Some of the marketing activities in preparation of this event will end up. But overall…
Uli Michel: I would like to see us leverage our infrastructure a little bit better. And that longer term you should see that certainly tick up on the operating income side of it and let's certainly see how this quarter plays out. There is some possibilities for that.
Jeffrey Slovin: You also have to keep in mind since we had basically flat revenues any little increase in operating expense plays out in the marks deterioration.
Uli Michel: Yes. But I think that the takeaway Jeff is that we are very focused on our margin profile and how we leverage our business and what the incremental sales dollar brings to the bottom line.
Operator: And we will take our next question from [indiscernible] with Bank of America Merrill Lynch.
Unidentified Analyst: Thanks. Good morning everybody. Thanks for taking the question. So, I guess for us not to beat the consumable trend in the U.S. further, I’m a little bit unclear from some of the discussions so far as basically why do you think there was no buy-ins activity this year for the distributor. Really just the simple as the channels maybe a bit overloaded with supply already maybe in late 3Q because of the summer slowdown or was there just some other factors? I am just curious on that. Thanks.
Jeffrey Slovin: Well, I think, the summer slowdown certainly was the real concern if you are distributor and seeing it at the retail level and this wasn't unusual for some of the other markets retail and general, restaurants, and so you start even though the summer is very much about September, so it's one month quarter it starts to get in a mindset and you wonder how long this is going to last. And if you feel relatively comfortable with your inventory level you know that you can count on Dentsply Sirona for the fourth quarter. We are going to be able to make the product. So you actually slowdown your purchases and now I have been very clear we were surprised by that level of reduction. And so, to us if we had thought that would have been the case Steve, we would have told you different things on our August call frankly. But that's – those purchases really aren't decided till – I think Chris it's fair to say the last two weeks in September.
Chris Clark: Yes I think if you look at it relative to where the inventories might be. They look at relative size the price increase which is pretty similar to other years. So I don't think that was a major factor Steve, but again I think they factor in probably interest rates that is in and look at it and go okay how do you want to go and some years again they will go deeper and some years they will go less and you characterize there is no buy-in, I wouldn't characterize that as no buy-in, what I would characterize it as a smaller buy-in then certainly what we expected and certainly what we had in the prior year.
Jeffrey Slovin: Okay. Good you know, the point is that as Chris said look when something changes like that and they can have a material effect on the quarter. It shows up. I don't think we are – what you should be taking away from this Steve is that we don't believe that this is an effect that we will continue on into the fourth quarter. That's what's important.
Unidentified Analyst: Okay. Got it. Okay. Great. Thank you.
Jeffrey Slovin: Thank you.
Operator: [Operator Instructions] we now next move to Jon Block with Stifel.
Jon Block: Hey guys good morning. And for once I will actually, if you were to the suggestion of one question, so you seem confident on the revenue synergies playing out and some rough math would say that the revenue synergies would give you about 150 to 200 basis points to incremental growth next year. So just to be clear when you say accelerating growth in fiscal 2017 is that sort of on the underlying business of 3% change this year or is that inclusive of the 200 bips from the revenue synergies? Thanks guys.
Jeffrey Slovin: Yes. Let’s not cut the baby in half and look at inside. This is on the totality of our business accelerating in it and I think you will understand what the goals are from our own perspective of where we want to be a leader in this market on growth. That's why we did this merger and one more importantly that revenue needs to translate to growing our earnings faster and this is all what went into us giving that indication.
Jon Block: Perfect guys. I will keep it to one thanks.
Jeffrey Slovin: Thanks Jon.
Operator: We next move to Robert Jones with Goldman Sachs
Unidentified Analyst: Hi, this is [Nathan Rich] on for Bob this morning. I will keep it to one as well. On the deal side segment we saw Paterson announce an agreement with one of the largest deal shows in Ireland a few weeks ago I am just wondering given your exclusive arrangement with Paterson for the distribution of Sirona equipment in the U.S. I mean is this a new opportunity if you guys server this customer and maybe just more broadly can you talk about how you are working with Paterson to go after this segment of the market?
Jeffrey Slovin: Sure. We haven't seen things changed, Hartman is a customer of ours. We certainly believe given the relationships that we have with Hartman and with the Paterson that we would expect to do more in the future and we would hope to do that. I think this also is an indication that Paterson is again showing their seriousness of being a player in the DSO market, Hartland is absolutely the largest. We have a very strong relationship with specific dental which is the right up there with Hartland and we would expect that to continue. When you look at the breadth of portfolio that Dentsply Sirona has from the specialty to the technology to the opportunities to change the practices efficiency. And then you couple that with our world class clinical education. I think we have got a lot to offer to DSOs and we have the strong relationship with many and I think it's just going to get better. Chris you want to say anything?
Chris Clark: I think its pertinent point. Again bottom line is we have good relationships today. We have good relationships through all of our dealers in the DSOs and again we expect that to continue moving forward.
Unidentified Analyst: Thank you.
Operator: We will next move to Matthew O’Brien with Piper Jaffary.
Matthew O’Brien: Good morning. I understand you don’t want to talk too much about 2017 at this point, but as we – as you talked about the tax rate because it seems like that that's certainly going any higher as the buyer to go higher most likely lower, you are talking about dropping more of your cost synergies to the bottom line going forward and then I am assuming asset is accretive and you got fairly easy comparison here. My math is coming up with low double digit -- kind of EPS growth for next year. Is there anything that's unrealistic about that math?
Uli Michel: We don't want to talk about 2017 on this call. It's a good try. But exclusively tells you we are not guiding on the tax rate. Nobody knows what the tax laws will do between now and the beginning of next year. We don't have visibility yet on our on the geographical split of our revenues nor do we know what the end market will involve. So we don't want to comment on 2017 now.
Jeffrey Slovin: But I would strongly encourage you to listen to our call in February where we will.
Matthew O’Brien: Just I’ll be real quick. The components of what I am talking about the bias for the tax rate to go lower seems to be there you are saying you’re going to drop more in the bottom line I assume, given the higher margin there are accretive?
Jeffrey Slovin: I think, look I will talk about two things. First of all, MIS is very strategic for us. We are not in the value segment which is one of the few segments in all of dental that – and it was 1.5 billion. Chris is sitting next to me smiling like a Cheshire cat because he sees all of the strategic opportunities to go there and yet we expect to have synergies in 2017 with and that certainly beyond. And then there is a lot of exciting things that we can do with bundling, with MIS and certainly with our Astra and other branded implants. So I think that is a fair comment. We have also said that we expect to accelerate our growth from this year. And we want to be a better at leveraging our infrastructure. Those are fair statements. Order of magnitude we are just not going to get into at this call. Let’s focus on executing on the fourth quarter, making our guidance getting some of the heavy lifting that we need to get done in the fourth quarter and start 2017 strong. That's the way I would frame in and I would be cautious about lowering our tax rate.
Matthew O’Brien: Very helpful. Thank you.
Operator: We next move to Matt Miksic with UBS.
Unidentified Analyst: Hey good morning. This is Brian for Matt Miksic, thanks for taking the question. So just one quick question from me on the MIS acquisition you have now closed it and can you just update us on where you are in terms of integration sales force retention etcetera. And if there are, what kind of pull through we should expect from MIS as you combined this with a much larger sales force and a much larger organization? Thank you.
Jeffrey Slovin: Sure. I would love to turn this for you Chris.
Chris Clark: Yes. No problem. Like obviously what Jeff mentioned is, we mentioned previously we are very excited about the MIS acquisition. I think it gives us $1.5 billion space that we have not been in before. There is not too many spaces like that in dentistry that we are not in. It's going to be accretive to our growth this company is well positioned in that space in a number of markets including number of merchant markets which are certainly helpful to us. I guess, I would characterize I mean we have the business for all 10 days, 11 days during the third quarter. So again we are early days here. But I guess I would say the integration teams are very active. Recognize that we plan to and I think we announced this earlier to operate these separately than our premium implant because quite frankly we believe these are distinctive segments and we’ve unique opportunities to address each market separately or each segment separately. So we are not looking to combine sales organizations. We are not looking to combine these businesses commercially and as such you asked about sales retention there really should not be an issue relative to sales retention because quite frankly their roles don't change at all. So again, there is a number of opportunities strategically with MIS and some of our digital assets. There is a number of opportunities operationally as well. And I think again, I am pleased for early days with how the teams are engaging on this. But we are early days. So again we will comment more as we get into it but so far so good and we are excited.
Jeffrey Slovin: Yes. I think you will get a better understanding of that on our February call. We will try to impact the benefit of MIS to us.
Operator: And ladies and gentlemen that does conclude today's question-and-answer portion. I would like to turn the conference back over to Derek Leckow, Vice President of investor Relations.
Derek Leckow: Thank you Sharon, thank you all for joining us today on this call, if you have any follow-up questions Josh and I are available to assist you and hope you all enjoy the holidays. We look forward to talking to you again in February. Bye.
Operator: Ladies and gentlemen that doesn't conclude today's conference. You may now disconnect.